Operator: Ladies and gentlemen, thank you for standing by. I am Gellie, your Chorus Call operator. Welcome, and thank you for joining the OTE conference call and live webcast to present and discuss the fourth quarter and full year 2025 financial results. [Operator Instructions] And the conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Kostas Nebis, CEO of OTE Group; Mr. Babis Mazarakis, Chief Financial Officer; Mr. Panayiotis Gabrielides, Chief Marketing Officer, Consumer segment, OTE Group; and Mr. Evrikos Sarsentis, Head of IR and M&A. Mr. Nebis, you may proceed.
Kostas Nebis: Thank you, and warm welcome, everyone. Thank you for joining OTE's Fourth Quarter and Full Year 2025 Results Call. 2025 was another successful year for OTE. We achieved solid results that highlight the effectiveness of our strategy and the dedication of our teams. Revenues increased, profitability growth gathered pace with positive momentum visible both in our Fixed and Mobile businesses. Throughout the year, our performance has accelerated. And in the final quarter of the year, this momentum became even more pronounced. In the Fixed segment, we have seen a return to retail growth after 4 years, marking a significant inflection point. We accelerated the transition to Fiber-to-the-Home, leveraging on the ongoing expansion of our FTTH network. In 2025, we delivered record high FTTH customer additions and this strong momentum continued throughout the fourth quarter. We have also seen increased utilization of our fiber infrastructure, which is essential for maximizing the returns on our investments. Additionally, the introduction of the new regulatory framework ending the sale of FTTC products in buildings already connected with FTTH will further support the shift to fiber connections. This will bring increased customer satisfaction, lower churn and meaningful cost savings. We remain, by a long way, the largest fiber network provider in Greece and the recent strategic acquisition of TERNA FIBER for the UFBB projects will allow us to extend the FTTH coverage in the coming years. At the same time, as the project becomes commercially available, we anticipate it will accelerate the fiber transition process of our customer base. We are particularly pleased that our fiber investments are delivering measurable national impact. In 2025, Greece improved its global Fixed Broadband ranking by 18 positions based on Ookla Speedtest Global Index, primarily driven by our accelerated rollout. This progress is fully aligned with our vision to elevate Greece at the forefront of digitization in Europe. Our FWA service launched in 2025 to bridge fiber connectivity gaps has gained strong momentum and is supporting our Fixed Retail positive trajectory. I would also like to highlight the outstanding performance of our Pay-TV business over the past year. We delivered robust double-digit growth, fueled by our strategic partnership for sports content sharing and the enhanced antipiracy measures. Additionally, the recent removal of the 10% special tax starting this year supports our confidence for continued momentum as the product becomes even more affordable. Turning to our Mobile segment. We continue to deliver outstanding results, further solidifying our market leadership. In the fourth quarter, our Mobile business achieved particularly robust growth, accelerating further from the positive performance that we had achieved throughout the year. The ongoing transition from prepaid to postpaid plans, rising demand for high data allowances and higher adoption of 5G-enabled devices have all contributed to this performance. We're especially proud to operate the only commercial available 5G stand-alone network in Greece, setting us apart from the competition. Through our 5G SA deployment, Greece now ranks fourth globally and first in Europe in 5G stand-alone speeds, once again based on Ookla global 5G stand-alone footprint, reinforcing our structural advantage in mobile. Our commitment to delivering top quality network performance was further validated this year as we once again received certifications from both Ookla and umlaut. These recognitions underscore our ongoing dedication to providing the best network experience in the country. In B2B, OTE played a pivotal role in advancing digitization. Our ICT business achieved robust double-digit growth and expanded to deliver international projects as well, further reinforcing our leadership in digital transformation and underscoring our commitment to Greece's digital future. We have expanded our services to private and international segments outside Greece to fill the gap once the EU RRF drives out next year. We continue to invest in our core competencies while strengthening at the same time our market differentiation and reinforcing the value that we deliver to our customers. Our non-phone services continue to grow and an energy partnership with Protergia brought new value-added benefits to our households. We introduced the Magenta AI platform, bringing the power of AI to the hands of our customers, a value-enhancing offering that fosters innovation, drives diversification and further strengthening our commitment to customer satisfaction. Finally, I would like to say a few words about our shareholder remuneration. In 2025, we streamlined our portfolio by selling our Romanian operations. And this has significantly enhanced our annual cash flow generation and enabled us to deliver additional value to our shareholders. Today, we announced our new remuneration policy, which from now on will be based on the actual free cash flow of the previous year instead of the projected free cash flow, marking a significant step forward and towards enhancing visibility, transparency and flexibility. We are proposing a 22% increase in the dividend and a 16% increase in our share buyback program. Our payout is virtually 100% of our free cash flow, clearly demonstrating our commitment to returning value to our shareholders. Beyond our financial performance, in 2025, we continue to pursue responsibly our growth. Our strong commitment to sustainability continue to deliver positive results as reflected in our sustainability statement. This year marked a major climate milestone since we achieved greenhouse gas neutrality in the group's own operation. Looking ahead, we remain steadfast in our mission to accelerate growth, drive digital and AI-led transformation, leading Gigabit networks with a clear aspiration to become Europe's top digital telco. We are committed to enhancing our operating and production model by leveraging innovative technologies, notably AI to boost efficiency and performance. We are confident that we will meet the evolving needs of our customers, creating lasting value for all and position Greece among the leaders in digitization in Europe. It is a strong market positioning that gives us the confidence to target a further growth acceleration this year to approximately 3% in EBITDA despite the challenges in the market. I will let Babis provide the details for the last quarter of the previous year. Briefly, I would like to emphasize that we continued our growth acceleration, boosted from all angles of our key revenue streams. Babis, to you.
Charalampos Mazarakis: Thank you, Kostas, and welcome to everyone on the call from me as well. Before moving on to the details of the quarter, let me briefly walk you through our new shareholder policy, which we consider a significant step towards delivering attractive and sustainable returns to our shareholders. And this reflects our strengthened financial position and reinforces our clear commitment to delivering value to our shareholders. So following the completion of Romania disposal, we distributed an extraordinary dividend of EUR 40 million in December 2025. And now we adopt our new Shareholder Remuneration Policy to usual market practice by basing it on the actual free cash flow generated in the previous year, we call it [ ex-post ] free cash flow instead of the projected free cash flow, the example, free cash flow. This approach provides greater visibility and transparency on performance and the remuneration while maintaining the flexibility required to ensure a smooth and sustainable remuneration trajectory. In 2026, we intend to distribute virtually 100% of the actual 2025 free cash flow, including the funds used to undertake the processing of the UFBB II project. Overall, this translates into total shareholder remuneration of EUR 532 million, comprising EUR 355 million in dividends, equivalent to EUR 0.8777 per share and EUR 177 million allocated to share buybacks. This represents a 22% year-on-year increase in dividends and a 16% increase in share buybacks compared to 2024. Now turning on the quarterly analysis. In Greece, we achieved a robust 8.7% decrease in revenues, supported by strong performance in System Solutions, positive trajectory in Fixed Retail and accelerated growth in Mobile. Retail Fixed service revenues increased by 2.6% this quarter with higher FTTH uptake, the main engine of our Fixed Retail growth alongside strong TV growth and rising Fixed Wireless Access adoption. Turning to our FTTH. We had an excellent fourth quarter, adding a record of net 58,000 additions, bringing our total FTTH customer base to 567,000. Retail FTTH represents 24% of our total broadband base compared to only 17% a year ago. This continued momentum together with sustainable wholesale demand for our infrastructure is driving higher network utilization, which has increased to 34%, highlighting both the strong demand of our FTTH network and the resilience of our wholesale partnerships. Furthermore, the recently adopted regulatory framework allowing to stop-selling FTTC in buildings already connected with FTTH is accelerating the transition to fiber and improving the monetization of our network investments. During the quarter, we continue to make strong progress in the deployment of our Fiber-to-the-Home network, reaching 2.1 million home passed, in line with our plan and targeting 2.4 million homes passed by 2026. Our Fixed Retail trends continue to be supported by our FWA, Fixed Wireless Access service, which continues to gain strong momentum with total subscribers reaching 55,000, highlighting the growing contribution of FWA to our Broadband business. Our TV segment delivered another robust quarter with revenue growth maintaining its double-digit momentum. Our customer base continued to expand, increasing by 7.1% with 19,000 net additions in quarter 4 of 2025, exceeding the same quarter last year, a nice achievement more than a year after the agreement implementation. We have now reached the anniversary of the benefit from the ARPU increase. However, the antipiracy legislation in place and the recent removal of the 10% special tax on pay-TV as of January 2026 gives us confidence in further adoption for legitimate platforms. Turning to our Mobile operations. Service revenues grew by 5.2%, accelerating further and delivering the strongest quarterly performance of the year. Our Postpaid segment continues its strong growth trajectory with the customer base expanding by 7.2%, making the ninth consecutive year of growth. This performance was supported by ongoing pre- to post migrations and record postpaid customer additions of 60,000 in the quarter. Postpaid customers account for 43% of the total mobile base compared to 40% a year ago. We are also seeing continued progress in the adoption of unlimited packages, while 5G device penetration has now increased to 42.2% compared to only 33.5% in 2024. The strong growth in our Mobile operations is underpinned by our network leadership, which continues to be a key one of our competitive strengths. As Kostas mentioned, this was once again validated this year by our performance across key metrics. 5G now covers over 99% of the population, while 5G plus nearly 78%. Data usage continues its strong growth with average monthly consumption per user rising to 18.3 gigabytes, representing a 30% increase year-on-year. In our Wholesale segment, revenue declined by 5% in the quarter, reflecting the natural drop in national streams and the anticipated drop in almost zero-margin international wholesale activities, which began phasing out and are expected to decline significantly over the next 2 years with an estimated impact of approximately EUR 170 million in '26 and a further EUR 130 million in '27 in revenues with no impact in EBITDA. On the national wholesale front, we continue to see a steady decline, while at the same time, experiencing increasing volumes on our infrastructure as a result of wholesale agreements. Indicatively, we added 135,000 wholesale net additions in 2025 compared to 60,000 a year ago. Other revenues grew by 26.7% during the quarter, driven by solid performance across our ICT portfolio. In particular, our System Solutions segment delivered an exceptional performance, recording a 57.5% year-on-year increase, reflecting strong demand and continued execution momentum in this area. As the, Recovery and Resilience Facility, RRF, gradually reaches its conclusion, its value contribution is expected to taper off. However, nationally funded projects are anticipated to continue supporting activity levels, while our strategic focus has increasingly shifted towards the private sector and our EU presence. Total operating expenses, excluding depreciation, amortization and one-off items increased by EUR 65 million in the quarter, driven solely by costs directly linked to top line growth, most notably higher third-party fees recorded within other operating expenses, reflecting the strong momentum in our ICT. We are also continuing to incur operating expenses related to the expanding FTTH adoption, particularly costs associated with the final phase of customer connections. At the same time, we remain firmly focused on our cost discipline across the organization with savings most visible in personnel expenses, supported by the ongoing benefits of our voluntary exit programs. In parallel, as part of our transformation of our model, we selectively deploy AI-driven automation to structurally improve efficiency supporting a further improvement in our indirect cost to service revenue ratio. As a result, adjusted EBITDA after leases increased by 2.3% in the quarter 4 of 2025, marking our strongest quarterly growth rate of the year. This performance provides a solid foundation as we look ahead to 2026, where we expect to accelerate EBITDA growth to approximately 3%. Now let's have a look at the CapEx and cash flow. Firstly, CapEx in the fourth quarter amounted to EUR 174.5 million, bringing full year CapEx to EUR 612 million, up nearly 9% compared to 2024. The increase primarily reflects the continued expansion of our FTTH footprint as well as the ongoing rollout of our 5G stand-alone network, further supporting our FWA growth. For 2026, we expect CapEx to be around EUR 600 million. Free cash flow after leases from continuing operations reached EUR 168 million in the quarter, up from EUR 145 million in the same period last year. The increase was mainly driven by higher EBITDA in the quarter and improved working capital performance, which more than offset higher CapEx. For the full year of 2025, free cash flow stood at EUR 543 million. Turning now to our outlook for 2026. We expect free cash flow to amount to approximately EUR 750 million. This estimate is based on the assumption that the upcoming spectrum auction takes place in 2027. As you know, a public consultation process is currently underway and the final timing and costs have not yet been confirmed. Excluding the one-off tax benefits, which are coming from the Romanian disposal and the resulting lower tax prepayments, the underlying organic free cash flow for 2026 is estimated to be around between -- in the range between EUR 570 million and EUR 580 million. With that, we conclude our speech and we are happy to take your questions. Thank you, operator.
Operator: [Operator Instructions] The first question is from the line of Draziotis Stamatios with Eurobank Equities.
Stamatios Draziotis: Three quick ones, if I may, please. Firstly, on Mobile growth in Q4, which as you mentioned accelerated materially to 5.2% up. Could you just tell us to what extent this reflected pricing actions, i.e., what the impact of pricing was in isolation? Secondly, on the outlook for next year, the acceleration of EBITDA growth to 3% stems from what exactly as per your budget? I mean I know there are many things that you've considered, but what is the main driver? Is it the stronger mobile setup? Is it cost savings? And lastly, on the cash returns, just to clarify, you've guided for this EUR 570 million, EUR 580 million underlying free cash flow generation in '26. Given you will have basically already ring-fenced the spectrum-related amounts. Is it fair to interpret this as the likely envelope for total shareholder remuneration next year, obviously, subject to Board decisions?
Kostas Nebis: Thank you, Stamatios, for the questions. Let me start with the first 2. As far as the Mobile growth is concerned, I mean, we are really pleased that throughout the year, we have seen Mobile growing in a healthy manner with a positive momentum across all quarters. It is true that in the last quarter of the year, we have seen a slightly higher growth rate. To a certain extent, this is also due to a stronger December, also part of it coming from the CPI implementation. Also the fact that the Christmas offerings of this year have had a slightly lower effect versus last year. So these are the 2 things. Now going forward, I mean, when it comes to the Mobile performance, we expect more or less similar trends like in 2025, and I'm referring to the annual trends. The levers, the growth levers are more or less the same. We are relying a lot on pre to post migration. We still have a big chunk of our customers still on prepaid. This is helping us drive ARPU up by providing extra value to our customers. This is one thing. The second one is also Babis commented, we are trying to push postpaid customers to high-value tariffs, including the unlimited. We still have a big part of our customer base who have not yet migrated to unlimited. And at the same time, we are facilitating that by penetrating deeper into our customer base, the 5G devices. So these are the key levers based on which we have been growing our Mobile service revenue in '23 -- or in '25, and we expect similar trends in '26 as well. Now when it comes to our EBITDA growth and moving from 2.1% that we managed to deliver this year to 3%, I think that the biggest difference is going to be on the IDC front on our costs because top line-driven growth, we expect more or less similar numbers as in 2025. But as a result of us running a couple of IDC-focused initiatives like a massive waste load reduction program in our front line. This in conjunction with our operating/production model transformation using technology, digital technologies, including AI, will help us also deliver an incremental boost to our EBITDA by rationalizing our costs. So this is the biggest difference comparing the 2 years.
Charalampos Mazarakis: Yes, regarding the forecast, our guidance for this year's organic or underlying free cash flow, as you said, this estimate to be between EUR 570 million and EUR 580 million. That will be the base, which will conclude and decide in 2027, what will be the Shareholder Remuneration Policy. Obviously, the payout and the split will be decided in early 2027.
Stamatios Draziotis: That's clear, Babis. If I can just follow up on this. I know it's early days, but is there any reason why this amount will be lower? I'm just trying to think because could there be anything else other than spectrum? I mean of significant size. Or is there anything that could swing this number or actually drag it lower?
Charalampos Mazarakis: Well, the results of the spectrum auction cannot be predicted, of course, that's one thing. Also, what is -- what we are also taking under consideration, as it was mentioned in the Shareholder Remuneration Policy is the fact that all the one-off items which these years were the positive tax break and the prepayments that are associated with that one. Obviously, this will be repeated -- will go the other way around in 2027. So our ambition here is to ensure that these one-offs are smoothen out in order to have a proper trajectory in our shareholder remuneration growth. So we'll take this under consideration when the time comes to decide the shareholder policy for 2027. However, I want to be very clear that the organic base to decide upon is the range between EUR 570 million and EUR 580 million.
Operator: The next question is from the line of Soni Ajay with JPMorgan.
Ajay Soni: I've got 2. And the first is around your fixed growth of 2.6% this quarter. So you stated FTTH is a key driver. TV is growing double digit. I just want to understand the building blocks to get to the 2.6% between the growth within FTTH, TV, Fixed Wireless Access and then maybe some of the headwinds, which could be from copper or FTTC, so that's the first question. The second one was just a follow-up on -- you're talking about pushing clients to unlimited data bundles. I'm just trying to understand the size of the opportunity for you guys. So maybe a few questions within this, but it would be good to know what portion of your base is not on unlimited data bundles? And what's the ARPU uplift when you push them to the unlimited data bundle? And then also -- sorry, within this is maybe an understanding of how this trend has evolved this year? What have you been able to do so far this year on this initiative?
Kostas Nebis: Okay. So let me start with the first question around fixed. Yes, indeed, I mean, Q4 was a very strong quarter. I mean on the back of both our Fixed Broadband performance as well as our pay-TV performance. I mean the main driver is, for sure, the FTTH penetration. So we recorded another record quarter, and we had a record year when it comes to FTTH net adds, moving customers from copper to FTTH is always coming with a plus when it comes to the ARPU. This is one lever. The second lever is, of course, Fixed Wireless Access. That was an important addition to our Fixed portfolio lineup because this allowed us to be more competitive in parts of the country where we were suffering from Starlink, especially the poor copper served part of the country. With us positioning ourselves with the Fixed Wireless Access product, we managed to, first of all, defend our customers while at the same time, generating some ARPU uplift moving them from copper to Fixed Wireless Access services. And pay-TV, I mean, we still believe that there's a lot more to come. The pay-TV penetration, the legitimate pay-TV penetration in Greece is still south of 35% when on average in Europe, it is ranging between 50% and 60%. So what we experienced now is all the benefits from the stricter antipiracy measures that the government has pushed through. This in combination with the fact that we have the elimination of the special tax levy that was effectively making the legitimate pay-TV prices 10% more expensive. This is out of the 1st of January. These all 3 are contributing to the growth that we have seen for the first time after 4 years in the Fixed Retail revenues. And this is more or less what we expect to see also stepping into 2026. Of course, taking into consideration the challenges in the competitive environment. But we believe -- I mean, we feel confident that when it comes to the Fixed Retail revenues, we are going to stay on the positive territory during the course of 2026. Now when it comes to Mobile, I mean, as I said, there are 2 key levers which are driving the Mobile service revenue growth. And these key levers have been behind this roughly 3% full year service revenue growth that we have experienced during 2025. As I said before, we are expecting a similar kind of growth trajectory in 2026 by moving customers from prepaid to postpaid. This is delivering roughly EUR 3 to EUR 4 uplift out of every transaction, but also moving customers from -- within the Postpaid segment from lower value bundles to higher value bundles including unlimited. Now in particular to your question with what is the percentage of our base who are still not migrated to unlimited is roughly 60% to 65%. And by moving customers not only to unlimited, it's not only one tariff. We are trying to progressively step up the customers from lower bundle tariffs, data tariffs to higher data tariffs, including the unlimited. We are generating roughly EUR 1 to EUR 2 out of every of these migrations transactions, just to give you some indicative numbers.
Ajay Soni: Great. And what's that trend been? So what have you managed to move the unlimited base from and to during this year?
Kostas Nebis: The unlimited base grew by 7 to 8 percentage points this year. This compares to roughly 10 percentage points last year. So this is the base. But we still have 65-ish percent of the base still not migrated to unlimited. So a lot of room to grow further.
Operator: The next question is from the line of Rakicevic Sofija with Goldman Sachs.
Sofija Rakicevic: I have 3 questions. The first one is, what are the key risks that you currently see in the German -- sorry, in the Greek market and your execution with it? And also, overall, what are the key risks to your 2026 guidance? The second question is you have implemented price increases on Mobile, but how are you thinking about price increases in Fixed, including both fiber and TV? Could you do more in 2026 and beyond? And lastly, could this rising fiber demand drive incremental CapEx beyond your current plans? And how do you expect for it to impact OpEx going into 2026?
Kostas Nebis: Okay. Let me take the second question first about price increase. I mean when it comes to pricing, I mean you need to understand we are constantly monitoring the market developments. We are operating in a very competitive market. And we are adjusting our prices accordingly, aiming to always provide the best value to our customers. So I don't have anything particular to comment at this point in time. I'm just sharing our thinking and our attitude when it comes to pricing. When it comes to the FTTH and CapEx, I think that we have already guided for roughly EUR 600 million. This is what we have included in our envelope to support all our investment needs with FTTH for sure being one of the most important ones, but not the only one. And your last question -- I mean, your first question, when it comes to risk, I would not call them risk, we would call them challenges. As I said, we are operating in a very competitive environment. So what we are trying to do is to stay focused on our priorities, on our strategic priorities on our investment plan and play on our strengths. And these are good enough and strong enough in order to allow us to defend our relative position in the market, but also to grow going forward. Babis, I do not know whether you would like to add something.
Charalampos Mazarakis: Just to add that the CapEx envelopes that we experienced in 2025, but also our guidance 2026 include already the rollout in the FTTH network that is necessary to support the growth that are supporting our guidance. So -- and as we, I think, repeatedly said in previous calls is that these levels of EUR 600 million is the peak that we see already as we are implementing the networks.
Operator: Ms. Rakicevic, are you finished with your questions.
Sofija Rakicevic: Yes.
Operator: The next question is from the line of Patrick Maurice with Barclays.
Maurice Patrick: It's actually Maurice Patrick at Barclays. I've got a few questions, please. The first one really relates to competitive fiber dynamics. We don't get a huge amount of details from PPC Group, although looking at your fiber numbers, it would suggest that really there isn't much disruption taking place in the fiber market from competing fiber networks. Maybe I'll ask the questions one by one. But if you could comment on your disruption from PPC and how you're seeing that impacting your business would be helpful.
Kostas Nebis: Okay. I mean with regards to PPC, well, first of all, what we have seen out of them is that their activities have been limited to the introduction of a broadband-only product, in a relatively small footprint, at least compared to our footprint. I mean, to have -- I have to be honest here, we have not yet felt any material pressure or effect on our numbers. So we'll see how this is going to develop. So we are managing to defend our broadband market share, as you can tell from our broadband numbers. And what we are leveraging is, first of all, our FTTH footprint, the one that we have already completed, the one that we are already building as well as our wholesale agreements with our partners and to repeat one more time that we have the most comprehensive and differentiated portfolio at this point in time in the market. So these are the things that are helping us defend our relative position. Now does this cover your question you asked...
Maurice Patrick: Yes, that's good. So I was going to ask a follow-up, and the next question really was about wholesale. I missed some of the points you made about the revenue lower wholesale, high infrastructure point. I caught the point where you talked about 125,000 wholesale adds this year versus 60,000. But clearly, you have reciprocal arrangements with Vodafone and Wind regarding fiber where they sell in your footprint and likewise, you on [ their. ] So very helpful if you can put -- maybe repeat those revenue -- wholesale revenue numbers that you gave, I think, in the presentation, I missed them.
Kostas Nebis: Okay. Let me start with the wholesale numbers, the wholesale fiber numbers on the back of the wholesale agreement. What we have seen in 2025 is us effectively doubling the net additions on to our fiber infrastructure coming out of us serving both Vodafone as well as Nova, so just to give you some numbers back in 2024, we have had 60,000 net adds on our infrastructure on a wholesale level. This 60,000 was -- has grown to 135,000 during the course of 2025. So more than doubled during the course of the year. And when it comes to the wholesale revenues, is this what you are asking for? Or you want to -- beyond...
Maurice Patrick: I think you made in your prepared remarks a few comments about the wholesale revenue direction. I didn't catch them.
Charalampos Mazarakis: So the wholesale revenues for this year, as we also had guided in the previous calls, declined, the national wholesale revenues by roughly EUR 15 million. And we expect something similar lines also in 2026. So no change in the trend there.
Kostas Nebis: Well, I understand that as we are rolling out, also Vodafone and Nova are rolling out in their part of Greece. And once they roll out, they are also migrating the customers to the retail customers to their own infrastructure, which has a pressure on our wholesale revenues.
Maurice Patrick: Super clear. And then if I could ask a follow-up question to AJ's about FWA. So you've reported the FWA customer base. You seem to suggest in your remarks that it's really a defensive mechanism against Starlink as opposed to an alternative to OTE broadband. It would be very helpful if you could maybe expand a bit more in terms of what sort of -- what data usage do you see from these FWA customers? Is it typically in areas where you don't have fiber, where you're targeting them? Those sort of dynamics would be very helpful.
Kostas Nebis: Good question. It is entirely in areas where we don't have fiber. So we have the right policies in place in order to make sure that this product is only sold in areas where we don't have fiber. And we call it more of a bridge technology in a sense that we are leveraging on our 5G network capabilities and particularly the 3.5 gigahertz and our stand-alone network, which allow us to allocate a slice of our network to these customers in order to provide faster speeds until we get there with our FTTH rollout, which takes more time in order to expand and to reach every corner of [ new countries. ] Now when it comes to traffic, what we see is, I would say, very similar to Fixed Broadband usages in the range of 300, 400 gigs. This is what customers normally do. And this is a result of us providing a very competitive product to the one that they would get from Starlink. So this has helped us a lot kind of slow down a bit, at least the amount of customers that we were losing to Starlink until we launched the service at the beginning of the year. And the traction has been extremely positive. We closed the year with slightly more than 55,000 customers now. We have exceeded the 65,000 customers. Very good reception from our customers, both as a defensive tool, but also in some cases, also as a slightly offensive one in areas where customers have chosen to take Starlink or some FMS solutions, we are not delivering on their expectations. But predominantly a defense and a bridge technology until FTTH gets there.
Operator: The next question is from the line of Karidis John with Deutsche Bank.
John Karidis: Firstly, can I ask about ICT revenue? It's really difficult from our side of the fence to sort of forecast this going forward. So anything you can say to help us would be useful. And in particular, on ICT revenue, with regard to business that you do outside Greece, how significant is that overall versus the total ICT revenue that you generate? And who do you sort of compete against? And why do you win versus your competitors? Secondly, I just wanted to confirm that essentially, in any one period with regard to wholesale cost to access Nova's premium sports content. If you both have the same number of ads, then your net costs are nothing. But if in any particular period, you add more customers than they do, then you actually have an incremental cost. Do I understand this correctly, please? And then very lastly, in terms of energy costs, I'm trying to understand how we should think about these going forward, both in terms of OTE becoming more efficient and therefore, using less of it or maybe growing less fast, the usage, but also what's happening to unit prices, the ones that you have to -- that you incur?
Kostas Nebis: Okay. John, thanks for the question. So let me start with the ICT. I understand the stagger. It is a multifaceted kind of initiative, which cuts across both Greece, including public sector, private sector, but also our efforts in the European Commission. So first of all, if we could provide some guidance, I would say we are expecting 2026 to be in double digits growth. I would say, in between 10% and 20%. This is what we see out of the pipeline that we have already kind of lined up. This is one information I could possibly provide. Now with regards to the questions that what makes us different is, first of all, our credibility. We have a strong track record of delivering on time. This is the biggest challenge that all projects are facing. One thing is to assign, another thing is to deliver them. So we have managed to build credibility both in the Greek market as well as outside Greece, being very reliable. We have the right people, the right skill set, but also the right track record that makes everybody feel confident that once they assign the project to us, it will be delivered on time. When it comes to the contribution of our European business, it is not immaterial. It is progressively growing. It is, I would say, something around 15% and 20% of our total System Solution business. Now your second question was about pay-TV. I think that you have picked it up rightly. So yes, if we outgrow Nova when it comes to the way we scale our base, yes, there is some extra costs, which are already factored into our P&L. So whatever you see reported also includes this cost element.
Charalampos Mazarakis: And regarding the energy, I think you framed it very well. We have, first of all, quite a few programs for energy saving around the network. So while we are expanding our network in terms of base stations and also via fixed infrastructure, we envisage that for 2026, we will manage to have a stable consumption. So therefore, whatever increase comes from the expansion of network is offset by the cost savings programs. Now regarding the pricing, given the turbulence in the previous years, we are now having a good percentage of our total energy consumption under PPA agreement. So we have a little bit more -- high visibility for the costs. Therefore, overall, we expect 2026 cost of energy to be broadly in line with 2025 after a reduction in '25 versus '24, thanks to the PPA that we signed.
John Karidis: Congratulations to the entire team for a great set of numbers.
Operator: Ladies and gentlemen, there are no audio questions at this moment. So we will now proceed with our webcast participant questions, the written questions. The next question is from Raciborski Piotr with Wood & Co. And I quote, "What is the exact value of the one-off tax item related to Telekom Romania sale? What apart from the tax item causes the difference between FCF and adjusted FCF?"
Charalampos Mazarakis: So as we explained in the call, the difference between the, let's say, the top line expected free cash flow of EUR 750 million and the organic, which is between EUR 570 million and EUR 580 million is directly due to tax items. This comprised 2 things. One is the direct tax break we have from the sale of Romania. This is in the area of EUR 130-plus million. And the remaining is the fact that because of the lower tax payments this year, we are also called to pay less of the prepayment of the tax for the next year because this is the structure of the Greek tax system, of a difference around EUR 40 million to EUR 50 million. Now the latter part of the prepayment will be reversed next year because the tax break will not be present in 2027. Therefore, this prepayment that we see this year will be paid next year. So in order to normalize all these one-off effects, we have, I think, correctly guided for the organic part of the free cash flow, which is the base for our forecast.
Operator: The next question is from our webcast participant, [ Katsikas George with Banking News. ] And I quote, "Could you tell us what plans you have for the EUR 500 million bond that matures in September?"
Kostas Nebis: The plan is obviously to refinance it. And as the time approaches to this date, we'll be coming more explicit about how this is going to be refinanced.
Operator: [Operator Instructions] Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to management for any closing comments. Thank you.
Kostas Nebis: So thanks a lot for your attention, questions and for your interest in OTE. We will meet again in May to discuss the first quarter results. Until then, have a nice day.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling, and have a good evening.